Operator: Greetings, and welcome to the third quarter Helix Energy Solutions 2022 Earnings Conference Call. [Operator Instructions]. As a reminder, today's call has been recording, Tuesday, October 25, 2022. I would now like to turn the conference over to Brent Arriaga, Chief Accounting Officer. Please go ahead.
Brent Arriaga: Good morning, everyone, and thanks for joining us today on our conference call for our third quarter 2022 earnings release. Participating on this call for Helix today are Owen Kratz, our CEO; Scotty Sparks, our COO; Erik Staffeldt, our CFO; Ken Neikirk, our General Counsel; and myself. Hopefully, you've had an opportunity to review our press release and the related slide presentation released last night. If you do not have a copy of these materials, both can be accessed through the -- for the investor page on our website at helixesg.com. The press release can be accessed under the press releases tab and the slide presentation be accessed by clicking on today's webcast icon.  Before we begin our prepared remarks, Ken Neikirk will make a statement regarding forward-looking information. Ken?
Kenneth Neikirk: During this conference call, we anticipate making certain projections and forward-looking statements based on our current expectations and assumptions as of today. Such forward-looking statements may include projections and estimates of future events, business or industry trends or business or financial results.  All statements in this conference call or in the associated presentation, other than statements of historical fact, are forward-looking statements and are made under the safe harbor provisions under Private Securities Litigation Reform Act of 1995. Our actual future results may differ materially from our projections and forward-looking statements due to a number and variety of risks, uncertainties, assumptions and factors, including those set forth in Slide 2 and in our most recently filed annual report on Form 10-K, our quarterly reports on Form 10-Q and in our other filings with the SEC.  You should not place undue reliance on forward-looking statements, and we do not undertake any duty to update any forward-looking statement. We disclaim any written or oral statements made by any third party regarding the subject matter of this conference call.  Also during this call, certain non-GAAP financial disclosures may be made. In accordance with SEC rules, the final slides of our presentation provide reconciliations of certain non-GAAP measures to comparable GAAP financial measures. These reconciliations, along with this presentation, the earnings release, our annual report and a replay of this broadcast are available under the -- for the Investors section of our website at helixesg.com.  Please remember that information on this call speaks only as of today, October 25, 2022, and therefore, you are advised that any time sensitive information may no longer be accurate as of any replay of this call. Owen?
Owen Kratz: Thanks, Ken. Good morning. We hope everyone out there and their families are doing well. This morning, we'll review our Q3 and year-to-date results, performance and operations. We'll provide our outlook for the balance of 2022 and provide color on the rapidly improving market and its potential impact on 2023 and beyond.  But before we get into Q3 results, I want to start by discussing our recent acquisitions. First, our acquisition of Alliance. The acquisition positions Helix as a full field abandonment service provider, expands our offerings in markets and diversifies our revenue stream.  We've added shallow water and marine services, surface well P&A and intervention services, diving and facility and pipeline removal capabilities to our existing services. We continue to execute our strategy to position Helix as a preeminent offshore energy transition company. Like our existing operations, Helix Alliance is well positioned to benefit from the improving offshore environment.  Our third quarter results include Helix Alliance for the first full quarter. Second, our acquisition of the Thunder Hawk Field. We have acquired 62.5% of the 3 subsea wells and related subsea equipment for the assumption of the abandonment obligation. The acquisition continues our strategy of securing utilization for our assets in nontraditional ways. We expect to benefit in the near term for maximizing production and secure [indiscernible] for the long term.  Moving now to the presentation. Slide 6 through 9 provide a high-level summary of our results and key highlights for the quarter. During the third quarter, activity levels across all segments were very strong with the increased activity from the strong global offshore energy market driving improved rates. Highlights for the quarter include strong utilization in the Gulf of Mexico and North; Sea; the Q7000 working again in West Africa; seasonally strong robotics activity, primarily from the renewables market with increased trenching and development of our new boulder grab.  Strong start to Helix Alliance with their marine support and energy systems generating good utilization in day's worth. Production facilities continue to be a steady performer and benefited from the production of our Droshky Field, and our newly acquired Thunder Hawk Field. On the sales front, we secured a 2-year extension with Petrobras for the Siem Helix 2, a negotiated contract reflective of the improving market.  Revenues for the quarter were $273 million, an increase of $110 million over our second quarter results. Our net loss was $90 million, an $11 million improvement over Q2. Our net loss was negatively impacted by the strengthening U.S. dollar, with $20 million negative FX impact primarily to our U.K.-based entities, nearly all of which -- nearly all of it unrealized and noncash.  Adjusted EBITDA for the quarter was $53 million. We believe the third quarter signifies an inflection point for Helix. Our employees continue to operate at high levels. And this quarter, we're starting to see the benefits of an improved and recovering offshore market flow through our results. We recognize there's room for improvement as we have set the foundation for improvements in Brazil in 2023. And with our recent 2-year contract with Petrobras.  We expect to see seasonal impacts on our Q4 results, but with the market outlook combined with our contracted work, we expect significant improvements in 2023. On to Slide 9, from a balance sheet perspective, our cash balance at the end of the quarter was $162 million. During the quarter, our operating cash flow was $25 million, including $11 million of dry dock and recertification costs.  We spent $3 million on CapEx, resulting in free cash flow of $22 million. We used approximately $113 million of net cash on our acquisition of Alliance. At quarter end, we were in a net debt position of $99 million. I'll now turn the call over to Scotty for an in-depth discussion of our operating results.
Scott Sparks: Thanks, Owen, and good morning, everyone. Moving on to Slide 11. The team's offshore and onshore continue to set an exceptional standard, reliably keep in our global operations functional and safe. We had anticipated early in the year that Q3 could be the turning point in our year and the team excelled and produced a strong quarter better than our expectation. Market conditions continue to improve, and we're looking forward to conclude in 2022 with high utilization across the fleet, stronger backlog and better visibility, increasing rates in more favorable terms and conditions. Our outlook for 2023 remains improved year-over-year with some long-term contracts in place with numerous contracted days and high visibility of work for [indiscernible] assets.  All of our businesses are well positioned for 2023 and beyond. In the third quarter of 2022, we continue to operate globally with minimal operational disruption with operations in Europe, West Africa, Asia, Brazil, the Gulf of Mexico and on the U.S. East Coast. We continue to operate at high standards with strong uptime efficiency for the quarter. During the third quarter, we produced improved revenues of $273 million, resulting in a gross profit margin of 14%, generating a gross profit of $39 million, producing positive EBITDA for the quarter of $53 million, a significant improvement against the third quarter of 2021 and a vast improvement of the first quarter of 2022.  In the third quarter, we commenced the integration of the newly acquired Helix Alliance business, a company that focuses mostly on the shallow water decommissioning space. I'm pleased to say the process is on course, and the teams are working constructively together. -- and Helix Alliance's performing well in line with our expectation, and we are certainly happy to welcome on board and have them as part of the team.  For the quarter, the well intervention fleet achieved utilization of 87% globally with 88% utilization in the Gulf of Mexico, 99% in Brazil, 89% utilization in the North Sea and 59% utilization in West Africa. The Robotics chartered vessel fleet achieved high utilization of 98% in the quarter, operating 5 vessels working 376 vessel days between ROV support, trenching and renewable works globally, working on multiple renewables projects in Europe, Asia and on the U.S. East Coast.  The Helix Alliance fleet of vessels achieved 80% utilization, and the Alliance Systems achieved 59% utilization with 1,077 operational days working for numerous clients in the Gulf of Mexico. Slide 12 provides a more detailed overview of our well intervention business in the Gulf of Mexico. The Q5000, again, had strong utilization of 94% in the third quarter, performing production enhancement work on 3 wells for 2 customers, utilizing the jointly owned Helix SLB 15K intervention system for one of the clients in ultra deepwater.  The vessel is currently working for Shell as part of the recently contracted multiyear agreement. The Q4000 had strong utilization of 81% in the third quarter compared to utilization of 66% in the second quarter. The vessel completed 1 well for 1 customer, then a single well campaign for another customer utilizing the jointly owned Helix SLB 15K intervention system. The vessel then commenced a multiyear campaign for one client in ultra deepwater.  Pleasingly, we expect both vessels to have high utilization and contracted work for the rest of 2022 and contracted work into 2023 with good visibility of potential further activity with steadily increasing rates. Both key vessels continue to operate under the Helix SLB Subsea Service Alliance package.  Moving on to Slide 13. Our North Sea well Intervention business had a much improved quarter, with stronger utilization for both vessels in the U.K. and commenced another campaign for the Q7000 in West Africa. The Well Enhancer achieved 80% utilization in Q3 due to some breakdown periods, the vessel performed production enhancements and decommissioning operations on 4 wells for 2 customers, working for one customer west of Shetland. The Seawell had a good quarter with 99% utilization.  The vessel performed production enhancement and decommissioning works on 8 wells for 4 customers also utilizing our diving services. The North Sea market continues to improve, and our business is seeing much improved utilization and achieving higher rates with both vessels contracted for the remainder of 2022. We now have over 350 days already awarded or contracted in the North Sea in 2023 and good visibility of further works and expecting further awards shortly.  Typically, we would seasonally spec the vessels in the winter months in the North Sea. However, and at this time, we are not expecting to stack the vessels and are planning to continue work in further winter months with only a minimal planned maintenance period for each vessel. The Q7000 transited back to Nigeria in July after completing its regulatory maintenance and inspection program in Namibia.  The vessel commenced operations in August performing production enhancement work on two wells from existing clients. The schedule for the Q7000 is now much clearer and set for the remainder of 2022 and into Q4 of 2023. On completion of the works in Nigeria later in Q4, the vessel is scheduled to commence a paid transit to the APAC region to undertake a drydock in preparation for our contracted work in New Zealand commencing in the first half of 2023.  On completion of the work in New Zealand, the vessel is then scheduled for a paid transit to Australia to undertake work in the second half of 2023, and our now fully executed contracts conducting a 7-well abandonment campaign for Cooper Energy. The vessel is then contracted for abandonment works in Australia on 2 wells for another client covering most of 2023.  Once complete with its APAC campaign, we are confident in the opportunities for the Q7000 for the end of 2023 and 2024. Moving to Slide 14. In Brazil, we had strong utilization of 99% in the third quarter. The Siem Helix 2 had a strong quarter with 100% utilization, completed production enhancement work on one well and decommissioning activity on four wells. Pleasingly, we recently announced the extension to the contract with Petrobras for the Siem Helix 2 that is set to commence in December of 2022 for 2 years.  So the vessel is now under contract until December 2024 with a substantial rate increase beginning in mid-December. The Siem Helix 1 was 99% utilized undertaken ROV survey works for Trident as it prepares for a long-term decommissioning project in Q4 and the recently awarded 2-year charter contracts. We expect 2023 is going to be a far better year for us in Brazil compared to 2022, with both vessels being back to our intervention rates, and we are pleased to have both vessels, once again, secured into long-term contracts.  Slide 15 provides detail of our well intervention fleet utilization. Moving on to Slide 16 for our Robotics review. Robotics continued their good form and had another good quarter, performing at high standards with strong utilization. Operating 5 vessels globally during the quarter, primarily working between trenching, ROV support, site survey works and non-oil and gas and renewables-related projects.  In the APAC region, the Grand Canyon II had 100% utilization in Q3. The vessel continued work on renewables ROV support project in Taiwan. The vessel is currently in Singapore for a planned maintenance period. And mid-Q4, the vessel is contracted to commence another long-term decommissioning project in Thailand, expected to last 180 days with further options to extend.  In the North Sea, the Grand Canyon III was utilized 100% undertaking renewables changing operations with 2 clients performing extremely well and performed an oil and gas trenching project for another client. The project chartered vessels to [indiscernible] worked 16 days, completing site fans and survey works on our renewables project. On completion of the project, the vessel's handed back to its owner.  The Horizon enable had 84 days of spot vessel utilization completed an oil and gas trenching project offshore Egypt and then perform renewables trenching works for another customer in the North Sea. Both the trenching vessels in the North Sea have contracted work well into Q4 and are building a strong backlog for the 2023 trenching season. In the U.S.A., the Shelia Bordelon, a Jones Act-compliant vessel was utilized 100% in Q3.  The vessel performed site survey project for 1 customer and then the site clearance project utilizing our own in-house built boulder grab for another customer both projects supporting wind farm operations on the U.S. East Coast. The vessel has recently been contracted for further work in the Gulf of Mexico to support a 100-day seismic node installation projects with further options to extend.  As I mentioned earlier, Helix Robotics is performing well this year, and we have a good backlog and good visibility globally in tightening markets, both in the oil and gas and the global renewables markets, setting a good foundation for 2023 and beyond. Slide 17 details our robotics vessels, ROV and trenching utilization.  Slide 18 provides overview of our newly acquired shallow water decommissioning and Construction Support Service business, Helix Alliance, reported as our shallow water abandonment segment. As I mentioned earlier, the integration of the company into Helix is positively on course, and the business is fitting in well with us and performing well as expected, and we are happy to have the team on board.  Helix Alliance is made up of three parts: Offshore; supplying Liftboats, OSVs and one crew boats; energy services, providing P&A spreads and coiled tubing spreads; and Diving and Heavy Lift. Supplying free diving vessels and the heavy lift barge. These three parts of the company allow Helix Alliance to uniquely be the only company operating in the Gulf of Mexico shelf that has the tools and assets to undertake full-field shallow water abandonment.  This has positioned Helix to be in a leading position to tackle the increased demand of shallow water decommissioning. Offshore had 10 lift boats operating in Q3 with combined utilization of 72% performing decommissioning services such as well abandonments and pipeline abandonment and construction support for five customers.  Offshore also supplied 6 OSVs and 1 crew boats with a combined utilization of 95%. Energy Services had 909 days of operations with 14 marketable P&A spreads deployed, conducting decommissioning services and 168 days of operations with 6 coiled tubing systems in the third quarter. Diving and Heavy Lift had 86% utilization across the free diving vessels and 41% utilization for the heavy lift barge conducting platform removal works.  Slide 19 provides detail of the Helix Alliance vessel and Systems current utilization. Before I turn the call over to Brent. I would again like to thank the Helix global team and partners. Offshore and onshore, you produced a vastly improved quarter compared to those 2 quarters of 2022, being one of our best quarters in recent times, with strong operational efficiency, minimal amputee and, again, set high standards in safety performance.  Our markets continue to improve for all of our businesses, leading to strong utilization for our vessels with some well-won long-term contracts, improving rates and better terms and conditions. The third quarter has set us as we expected on the start of our recovery and the next few years look to be in much better shape, thanks to you, the Helix team. I will now turn the call over to Brent.
Brent Arriaga: Thanks, Scotty. Moving to Slide 21. It outlines our debt instruments and their maturity profile September 30. Our total funded debt was $271 million at the end of the third quarter with $4 million payment of our MARAD debt during Q3. Our next maturity is the semiannual MARAD payment in February of 2023.  Moving on to Slide 22. This slide provides an update on key balance sheet metrics, including long-term debt, liquidity and net debt levels at quarter end, with cash and restricted cash of $165 million position was $99 million. On July 1, we amended our ABL increasing the size of the facility to $100 million increase.  At quarter end, we had no borrowings outstanding and $82 million of availability under our ABL with the resulting liquidity of $244 million. I will now turn the call over to Erik for a detailed discussion on our outlook for 2020 and beyond.
Erik Staffeldt: Thanks, Brent. Our results for the third quarter support the improvements in performance we forecasted during the second -- for the second half of 2022. Although we will continue to deal with the headwinds from our operations in Brazil through March '22, our remaining operations, including Helix Alliance, our shallow water abandonment segment are operating at very high levels.  Based on our results to date, our contracted work, the improving offshore market and our expected outlook for the balance of 2022, we are adjusting our annual guidance as follows: Revenues between $785 million and $860 million; EBITDA between $100 million and $120 million; and free cash flow between breakeven and $30 million. These ranges include some key assumptions and estimates. Any significant variation from these key assumptions and estimates could cause our results to fall outside the ranges provided.  Providing our key assumptions by segment and region starting on Slide 25. First with our Well Intervention segment. The Gulf of Mexico continues to be our strongest market, with improving rates and expected strong utilization on the Q4000 and Q5000, contracted work extends into 2023. We expect strong utilization in this region.  In the U.K. North Sea, both vessels have contracted work into Q4 with strong utilization expected through Q4 and into 2023. We expect strong utilization in the region, although rates were lower in the winter months reflecting the increased weather risk. In West Africa, we expect the Q7000 to work into November, the vessel is then planned to transit to the APAC region to commence the 2 field abandonment in the first half of 2023.  In Brazil, the Siem Helix 2 contracted into mid-December 2024 with Petrobras, with increased rates starting late December. The Siem Helix 1 is performing ROV survey work in Brazil into the fourth quarter prior to its contracted 2-year well abandonment work for Trident in late Q4.  Moving to our Robotics segment, Slide 26. The Grand Canyon II in APAC returned to Thailand for contracted decommissioning and ROV support work with good utilization for the balance of '22 in that region. Grand Canyon III is contracted to perform trenching in the North Sea, for multiple customers with expected strong utilization for the remainder of the year. The Horizon Enabler continues performing trenching projects into December. The Shelia Bordelon is working off the U.S. East Coast on contracted wind farm work, completed Border site clearance. With follow-on ROV support project in the Gulf of Mexico scheduled to commence mid-November. Overall, strong utilization expected to the balance of '22.  Moving on to production facilities. The HP I was on contract for the balance of '22 with no expected change. We have expected variability with production as the Droshky field continues to deplete and our production should benefit from the Thunder Hawk acquisition. Continuing on Slide 27 for our new shallow water abandonment segment. Coming off a strong quarter, we expect the marine offshore business to maintain stable utilization on 7 to 9 Liftboats with some variable seasonality on the OSVs and crew boats.  The energy services should have strong utilization for 8 to 12 P&A spreads and 1 to 3 coiled tubing units. There is some seasonality in diving and heavy lift business where the [indiscernible] is currently idle with limited opportunities. Diving services are likely to start the machine later in Q4.  Moving on to Slide 28. Our CapEx forecast for '22 heavily -- once again, it's heavily impacted by the amount for '21 that we pushed into '22, approximately $20 million. With the heavy regulatory year and the inclusion of Alliance, our CapEx range for 2022 is currently $50 million to $60 million. The majority of our CapEx forecast continues to be maintenance and project related primarily falls into our operating cash flows.  Reviewing our balance sheet, our funded debt of $271 million is not expected to change for the year. I'll skip the remaining slides, starting with Slide 29 and leave them for your reference. At this time, I'll turn the call back to Owen for a discussion on our outlook beyond '22 and for closing comments.
Owen Kratz: Thanks, Erik. Last quarter, we provided a list of events that should contribute to a significant improvement in '23 versus '22. What I can say now is that our confidence in significant year-over-year improvement is even stronger today than last quarter. The market demand continues to increase along with utilization and rates.  In fact, it's beginning to appear that we may become asset constrained to cover all this demand that we're seeing. Rates improved rapidly during 2022, but we had already offered customers rates that hedged utilization before we realize the extent of the demand increase. This means that while we expected the returns as a result of rate increases improve in 2023, there's still headroom for further rate improvement beyond 2023. Of course, we're all aware of inflation in the state of the global recovery.  The rate that demand rose in 2022 was dramatic, but we all know that the market can collapse just as rapidly. Our strategic goal remains to manage the balance sheet, maintaining the capacity to cash settle our 2026 converts should the capital markets warrant. For the foreseeable future, we anticipate Helix will be meaningfully free cash flow positive. Ahead of this ongoing demand increase, it's our intent to add incrementally to the 3 legs of our energy transition model of, number one, maximizing remaining reserves; two decommissioning; and three, renewables, specifically offshore wind.  We did acquire Alliance, which significantly adds to our decommissioning capabilities, and it's already exceeding our initial expectations. We also acquired a majority interest in the Thunder Hawk deepwater field furthering our maximization of remaining reserves, while building our decommissioning backlog for the future. We've previously said that we may add Trenching capacity as our renewables work increases with us along with our global footprint.  We're also adding a second site clearance spread as our credibility in the renewables space increases and more East Coast wind farm work becomes available. Our goal is to add incremental capacity within our current niches while managing the balance sheet and building our cash position. We're not looking for growth for the sake of growth, but to add sustainably and accretively to our free cash flow generation. And at the same time, maintaining a strong balance sheet.  If the market bears itself out is expected potentially will reached the point of confidence that we can navigate the challenges and remain in the positive cash position to cash settle our 2026 convertible debt. We'll continue to balance the opportunities to achieve what we feel is the greatest value to our shareholders, whether by consolidating or adding accretively to our business model, or by returning value to shareholders via share repurchase or dividend.  Some observations on market dynamics since our last call are: number one, the North Sea pivoted from a no more oil and gas stance to promotion of production increases in sustainable energy. A year ago, all the talk and planning centered around decommissioning. The U.K. government then imposed an excess profit tax of 25%, with an 85% tax credit against development spending.  I should note any spend on decommissioning is not deductible for that purpose. For this region -- I'm sorry, for this reason, this has had the effect of increasing work that we do for maximizing remaining reserves while casting down on the pace of decommissioning work.  Overall, though, the demand for our services has increased, and we're now looking at working well into the winter months when we've been idle during recent downturn years. The FX decline makes it unlikely that you'll see us spend any significant capital to the North Sea in the future other than deployment of some new technology that we're developing that should enhance the capabilities of our current assets.  The second item is Brazil demand has surged and the rig market is tightening further. Petrobras has extended the contract with SH 2 for 2 years and Triton has contracted the SH 1 for 2 years. We're finalizing additional work and clients beyond that, with Brazil almost certainly becoming a 3-vessel market for Helix with multiple clients, which we hope to announce soon. This represents a vast improvement compared to the recent past.  The third item is that we've had a very successful campaign in West Africa and foresee additional demand starting to develop beyond 2023 based on the success of the first demand. Also, the offshore wind market on the East Coast of the U.S. continues to develop, and we're taking steps to be in a strong position as the work builds.  The last item I'd like to note is that the APAC offshore wind market is also increasing, and we're considering our options that would enhance our current presence there. The opportunities are plentiful, and we'll be focusing on sustainable margin improvement and accretive free cash flow rather than chasing growth for growths sake.  We believe the markets are in -- we believe the markets we are the correct ones that fit a true energy transition story. We're dedicated to continuing improvement in our ESG efforts, as outlined in the presentation, and we look forward to publishing our 2022 corporate sustainability report in the very near future. The opportunities for Helix are really strong, and we're excited to deliver on them. Erik?
Erik Staffeldt: Operator, at this time, we'll take any questions.
Operator: [Operator Instructions]. Our first question comes from the line of James Schumm.
James Schumm: So in regard to Alliance's businesses, how many competitors do you have there on average? What's your rough market share in those businesses? And any backlog to speak of in any of those businesses?
Owen Kratz: The competitive question, as noted in the presentation, Helix Alliance is the only contractor we're aware of that has all of the assets that are required to do a full decommissioning from cradle to grave. There are a number of smaller contractors, each of which provide a service or a limited number of the surfaces, so the clients in order to do a full field decommissioning has to combine the contracting with multiple contractors. That gives us, we believe, a competitive advantage. As far as market share is concerned, it depends on which asset class you're looking at. But in general, Alliance owns between 25% and I'd say 30% of the assets available in each of the classes of assets. So -- but if you look at who has integrated full field capability it's Alliance only.
James Schumm: Got it. And then Owen, any backlog in those, like maybe -- is there any P&A backlog or anything in any of those businesses?
Erik Staffeldt: Yes. So Jim, I think right now, the standard contracting methodology that they have is standard MSAs, which they get call-out work. So from a backlog standpoint, I think there'll be very little, if any, of it on our report here at the end of Q3. I do think and based on bidding activities that there's opportunities where there will be backlog added in the future based on the type of projects that are being bid.
James Schumm: Okay. Great. And then on the Q7000, what's the expected utilization rate for the Q7000 next year? You've got -- it sounds like -- so you've got work. I think you said 200 days next year, but you've got work in New Zealand in the first half of the year, but I believe you have a 30-day docking period so that you won't be utilized. And then you said you're going to Australia in the second half of the year. So if you could talk through maybe what the utilization looks like? And then what's beyond '23? Did you get some work in Brazil? Or just any help there would be great.
Erik Staffeldt: So Jim, I'll go ahead and start and then pass it off to Scotty. I think you're right. As far as time that the vessel is not working or getting paid, the dry dock that you referenced that we expect to happen early in the year, obviously, the vessel is not working. We addressed that there is going to be, I think, some gaps of mobilization, where the vessel were being paid for mobilization. But from an accounting standpoint, all the mobilization, both cost and revenue, gets deferred to when the vessel is working. I think right now, contracted work, we have 200-plus days is our expectation of contracted work. But once again, we have two periods of mobilization in there for the vessel.
Scott Sparks: Yes, those periods of mobilization are fully paid by the clients that are taking vessels. So the only unpaid time that we're expecting next year will be the dry dock period. And then we expect to have the work into 2024 now.
James Schumm: Okay. And do we know if that's in Australia or Brazil?
Scott Sparks: So we do have work that's in Brazil, and we'll be putting out some information on that very shortly.
Operator: Our next question comes from the line of Craig Lewis.
Unidentified Analyst: Thank you, and good morning, everybody. I wanted to see if you could, Erik, maybe talk through a little bit more the upward revision in EBITDA, i.e., was a nice move higher. Any way to kind of roughly parcel out how much of that was from Alliance? How much of that was from improving overall market? How much of that was from Thunder Hawk, like if I were thinking about those three baskets?
Erik Staffeldt: Okay. So I would tell you, I think from -- I wouldn't equate the upward revision to Thunder Hawk at all. So I think it's really a combination of our existing business. And of course, as Owen mentioned, the Alliance business is exceeding expectations as it works. And so I think as we look at the guidance and what we've put out there, the increase, obviously, was -- would be able to derisk and contract up some of the projects that we had identified. I think the well intervention market continues to improve, and we're seeing improvement in rates and also utilization in the fourth quarter in the North Sea.  And then, of course, Alliance performed very well in the third quarter with the continued activity here going into the fourth quarter. We do expect some seasonality, and that's why the range is probably a little bit wider than we have had in the past, but it's really the first time we're including Alliance during this time. So I think it's really a combination of Alliance in our existing business that really drove the upward revision.
Unidentified Analyst: Okay. That's great to hear. And then realizing it's still early days. We're just starting to -- I mean, I guess we started to get some pricing earlier this year. When you mentioned, I think you said asset shortage or whatever the word, it sounded really good. Are you seeing customers starting to want to get longer, i.e. -- not that we're going to see another BP type contract, but is there starting to be longer-term project or demand where we could see some good term work on specific well on any of the Q rigs over the next, I don't know, 6, 12 months?
Owen Kratz: The potential is there, whether or not we want to commit to that. I mean, we've already had offers wanting to commit to our assets beyond the 2 years that we've agreed to. Our position, though, is that we're coming out of a severe downturn. We have a sustainable upside ahead of us here. We have high inflation rates. So there's some uncertainty about what you're costs are going to be in the outlined years. And we're also seeing a further tightening of the rig market with rates continuing to go up. So it's actually been our choice to not contract for multiple years out. I think a lot of the producers would love to lock in on the cost certainty beyond 2 years. So we're unwilling to do so at this time until we know what the costs are going to be and what the market will support.
Scott Sparks: We've had quite a good cadence right now. We have the -- China taking the SH1 to 2 years. Petrobras taken the SH2 for 2 years. We've just signed up the Q7, as we said. And then on our spot market areas for the Q units in the Gulf of Mexico and the North Sea areas. We do have contracted work into '23, and we're seeing very good visibility. So we don't want to tie ourselves into longer-term agreements at lower rates at this time.
Unidentified Analyst: Yes. No, absolutely. And then I did just have a quick one around the robotics, i.e., the trenching and the position in the renewables. I guess what I'm wondering is realizing that there's always going to be a fair amount of seasonality related to the North Sea. As we start to do projects further field, i.e., maybe in the United States, and I guess we did some work in Egypt. We're doing stuff in Asia. Should that business become less seasonal?
Owen Kratz: Well, the North Sea is definitely becoming less seasonal. We went -- historically, if you go back a dozen years, it was seasonal. And then we went through a high demand period where we worked through the years, returned to being seasonal and now we're going into another period where it looks like it's going to be less seasonal. In the Gulf of Mexico, it really isn't seasonal. We worked through the year here with the exception of the Helix Alliance heavy lift assets -- heavy lift season in the Gulf of Mexico due to weather is usually limited to about 160 days a year. So that will remain being seasonal. And that's just -- that's not a commercial reason, that's a technical reason. You just can't safely be out there that long. In Brazil, it's less seasonal. We go year round in Brazil. And Australia is a seasonality thing.
Scott Sparks: Our renewables market, such as Taiwan and in Asia, they're seasonal, there's heavy winter months there sort of work doesn't happen in the winter months. And obviously, up on the U.S. East Coast, you get very bad weather for the winter months, so I'd say that the U.S. East Coast will become seasonal. And we're going to focus on the aspects of renewables on the pieces we provide that we're very good at, such as trenching, survey work site clearance. But I think you'll find apart from the North Sea that will be a seasonal market.
Operator: Next question from the line of Don Crist.
Donald Crist: I wanted to start with the shallow water P&A market. I know when you did the Alliance transaction, you had talked about an implied backlog overall in the market of multiple billion dollars. Has that changed any? And can you really talk about the urgency of operators to get that work done sooner rather than later?
Owen Kratz: Yes. The market has not changed. I believe there's been a number of analysts that have written on the size of the market being something like $7 billion over the next 10 years. That I don't know that we would disagree with that. We are seeing a strong demand. In fact, we are having trouble meeting all of the capacity requirements and the demand in the market right now. As far as the regulators go, the U.S., Gulf of Mexico, the regulatory entities seem to be very intent on being this out of the way. the majors who are the recipients of these properties coming back to them are also highly motivated to get them -- get the work out of the way.  So I don't see any slacking of the demand over the next 2 or 3 years. Now the North Sea is a little bit different on the decommissioning market. The government over there is basically on the hope for paying for 60% of the abandonment cost in the form of a PRT tax credit that was agreed. As you know -- as you have been following the news, the U.K. is not in the greatest state right now with the new administration coming in. There's never been a hard push from the regulatory bodies in the U.K. to get decommissioning done.  With the energy crisis in the EU and the U.K. from the Ukraine war, the pivot has been back to let's not remove any infrastructure and let's see if we can get some more production on. So I think the decommissioning market over there right now is sort of uncertain without any -- without major regulatory push. In the Asia Pacific market, I believe the regulators are -- we're working essentially for the New Zealand government to remove a field that would return to them through bankruptcy.  On the Australian side, you had the Northern oil and gas bankruptcy that returned the [indiscernible] field to the government. Because of those bankruptcy occurrences the regulatory bodies there are very, very intent on getting caught up on decommissioning. So I think you'll see that continuing for the foreseeable future.
Donald Crist: I appreciate all that color in all the different areas. Can I touch on two kind of topical things. Number one, labor. How is labor kind of panned out over the last 6 months or so? Is it getting better or worse? And number two, just on inflation, what efforts are you taking right now to kind of mitigate what you're seeing on the inflation side?
Scott Sparks: I'll talk to labor. Labor has definitely become tight in all segments of the oil industry and the renewable space. We've got a lot of people going from the oil and gas industry to the renewable side of the business. So labor has got tight. We've increased our salaries to our offshore guys and managed to keep a stable position, but it's something that we monitor all the time. But I'd say, in all regions and all the segments, labor is tight. And no doubt, we are seeing cost increase as well. But likewise, we're increasing our revenues and our prices to our clients to accommodate.
Erik Staffeldt: Yes. I think, Don, just to add from our balance sheet perspective, our debt is essentially a fixed rate. So I think we're well protected there from the rising rates. As far as, like you said, inflation overall, I think here for the last 18 months with the constraints in supply chain, we've been fairly aggressive to make sure that we have the parts that we need to service our equipment in vessels. And so I think that will continue. And then as Scotty mentioned, we are seeing pressure on -- in the labor market and I think being able to increase our rates during this time is how we're attempting to protect there.
Operator: Our next question is from the line of David Smith.
David Smith: Congratulations on the strong quarter and the improved full year outlook. I wanted to circle back to the shallow water abandonment segment. I was struck by the increased revenue guidance of close to 30% at the midpoint. So I wanted to ask if the prior guidance was sort of informed by the pre-acquisition cadence of activity? And whether -- if you're seeing any indications of higher customer interest now that those assets are in your hands?
Owen Kratz: I'd say I think the original guidance we gave was heavily influenced by our pre-acquisition outlook until we actually owned it and operated it, we were probably a bit conservative. The second thing I'd note, though, is that the demand increase in the shallow water abandonment market is the relatively recent occurrence. The ramp-up of that demand has sort of -- well, it hasn't surprised us, but it's actually been over the last 12 to 18 months that you actually see the ramp-up in demand and the demand continues to ramp up.
Scott Sparks: We're definitely seeing that from best in the Gulf of Mexico in the shallow water and in the deepwater that they're not letting the operators offer decommissioning, they're forcing them to attack the market and take out these assets. So that's led to an uptick in demand as well.
David Smith: I appreciate the color. Is it fair to think that what you're seeing for that segment in the second half of this year might bias your '23 outlook toward the higher end of that $30 million to $50 million EBITDA range?
Erik Staffeldt: I think that's a fair assessment based on what we're seeing.
Owen Kratz: You also asked about whether or not any of it was due to Helix being the owner of Alliance now? I would like to think so. But I don't want to detract at all from the effort that the Alliance team is doing -- they've been doing a fantastic job of trying to ramp up and meet the demand that I think is being thrust on them. I think they're doing a fantastic job at that. The -- one of the rationales for the acquisition though was that a lot of these properties are reverting back into the hands of the majors.  And the majors have a higher requirement for processes in place, the safety programs, et cetera, that the shelf contractors are not typically set up for, but I think we've been very pleasantly surprised at how quickly Alliance has -- is adopting this requirement. And I think it's helped along by the fact that Helix is able to impose -- or not impose, but we have the processes and everything already so that other contractors on the shelf to meet those same qualifications, it would take them a lot longer and struggle a bit more. So, I think there is value in Helix's ownership of Alliance.
David Smith: Yes. back in the day, is tough for a small contractor to get a MSA with a major without a hurricane helping. One last question, if I may. Just circling back to your comments about having trouble meeting demand for U.S. shelf DNA work. Can you speak to your appetite to pick up additional assets? And how you see asset acquisition opportunities relative to your purchase price for Alliance?
Owen Kratz: I don't know that the bottleneck to necessarily be assets. I think it's more of a people constraint. We have more than enough wireline units, for instance, we just need more wireline personnel, and they literally do not exist. And there's no training program that we're aware of. It's typically an apprenticeship program. We've reached out to our Alliance partner, they're short of people. Everybody has the same personnel constraints. And so yes, there are asset acquisition opportunities, but I think the place to focus is on the people bottleneck.
Operator: Our next question from the line of Samantha Hoh.
Kay Hoh: I just wanted to echo my congrats on a really great quarter. And Owen, we seem to remember a couple of quarters ago, you suggested that the industry could be short vesseled. It looks like we're well on our way with the Q7000 potentially contracting Brazil. I'm just kind of wondering how you're looking at the world these days in terms of what the outlook could be in terms of just overall demand strength versus the lack of vessels for the well intervention?
Owen Kratz: Well, we've alluded to the fact that we'll probably have 3 vessels in Brazil, 2 in Gulf of Mexico, and we'll have 2 in the North Sea. That still leaves Asia Pacific, West Africa and additional demand in the North Sea that we don't have an asset for. I think that's just our position. So I think what you'll see us do is try to expand on what we always -- already do, which is, I believe, we're the industry leader in offering intervention well control systems. So I think you'll see us branch out there.  I don't -- I can tell you what you're not going to see is we're not going to be building another vessel. So we're going to be looking for incremental ways to add on to the services we already provide. Just to give you a comment on the broader market though, a year ago, I would have fallen over if somebody had told me that you couldn't find a vessel of opportunity to win. But the vessel market, in general, on a global basis is extremely tight and to lay your hands on a Jones Act vessel for the U.S. is not impossible. So -- and Scotty, you may have some to but the amount of demand increase on vessels has just been staggering.
Scott Sparks: Yes. Vessel demand has increased hugely because of the expansion of the renewables market, but that's why we charted the Shelia Bordelon longer term, and it's also why we entered into the 5-year contracts for the Grand Canyon vessels so that we have access to vessels. Regarding the well intervention programs, yes, we're short of an asset technically, but we're also discussing with those clients where we can move programs around and try and get to them in 2025.
Kay Hoh: Okay. And then maybe just a real quick housekeeping, but in terms of the rate progression for well intervention, it seems like it's seasonality's completely thrown off track and you have a much sort of like steeper jump in the first quarter than we're used to seeing?
Scott Sparks: I think a lot of that will come from the North Sea. Like we said we would seasonally stack the 2 vessels in the North Sea. We're expecting to have a complete program apart from a minimal maintenance period on both vessels in the North Sea. We're expecting that it's not really seasonal in the Gulf of Mexico. So both vessels will be active in Q1, but we do have dry docks coming up in Q2 for the two key vessels. And like we say in Brazil, it's 365 working for both of the assets down there.
Kay Hoh: And then maybe just shifting to the renewables side and staying with Brazil. It seems like Brazil is sort of ramping up on the offshore wind side with just tons of projects announced over the last quarter. I was just wondering if you guys have started to have conversations about potentially expanding your offerings for Brazil on the renewables side?
Scott Sparks: Yes. Yes, we have. I mean, it's not just Brazil, it's Middle East. Africa is talking about. Now even the Gulf of Mexico. There's a huge expansion going on in that space. But we have started having some discussions down in Brazil. I think all those projects have been announced, you have to realize that the supply chain of these projects -- the projects are more like 4 or 5 years out in business.
Kay Hoh: Okay. So you have lots of time. But what about the boulder grab -- I don't even know what to call it. Can you maybe just tell us a little bit about this addition to the Robotics please?
Scott Sparks: It's basically what it says on the tenth of boulder grab, it goes down. It's an underwater robot that goes down and picks up boulders and move them out of the site to clear the site for the wind farms that go in place. So the site clearance relating to the power cables that go out to the wind farm site clearance in relation to the foundations of the wind turbines themselves and the bulk need to be removed.
Kay Hoh: Is it a robot that's on a vessel?
Scott Sparks: It's an ROV effectively that sits off one of our vessels and has a huge grabbing arms to remove the boulders.
Owen Kratz: In the past, we've relied on accessing third-party grabs and we've been the prime contractor on the job. Last year, we stepped up and we built our own grab, which has been very successful. And now because of the rising demand in multiple markets, it's too difficult to shift the grab to where you need it. So we are looking at adding a new grab primarily to cover the East Coast of the U.S. as well as having another one in the EU sector. It's not a major capital item. It's less than $1 million, but it's an enabler to put in another spread to work.
Operator: Next question from the line of Dan 
Unidentified Analyst: Congrats on the good quarter and a positive outlook. I have a couple of questions. A couple of questions. First, you guys laid out a really positive outlook for 2023. You talked about Alliance being at the top end of the $30 million to $50 million. Are there any negative offsets to think about for 2023? Or right now is just a good time to be in the business as you are?
Owen Kratz: I'd say it's a good time to be in the business right now. Of course, you have inflation, you have geopolitical events. And we've seen in the past, and I mentioned in my color comments, we're always mindful about how rapidly things can decline. So we'll watch our position to make sure that we're never exposed to the extent that we have to worry about that. But from what I'm seeing right now with the clients clamoring for multiple year commitments and the lack of supply in the marketplace, I really think that we have another 2 to 5 years here of nothing but good.
Unidentified Analyst: Perfect. And then using that outlook, I know you want to generate -- with free cash flow, you're going to save the cash to pay off the converts to '26. Can you just talk longer-term capital allocation priorities, and in particular, shareholder return, of how you think about dividends versus buybacks versus the organic growth opportunities?
Owen Kratz: I think you have to be led by what creates the greatest value for the shareholders. So when your capital allocation -- you have capital deployment to growth. You have the share repurchase, you have the dividend basically or you have a cash build. So you have four options. So the question is, which one has the greatest risk and which one builds the shareholder value the best? I sort of personally look at the trading multiples as a guide as to what kind of a return we have to have if we're going to be deploying capital for growth. It has to have a return that is better than the multiple that we're trading at and then you create value.  That's -- and then I also look for sustainable cash flow. Where can we add for growth in a sustainable manner that's accretive to longer-term leverage free cash flow accretiveness? And then that ultimately makes more cash available for the shareholders. I think in the market right now, where we're just at the tail end of the cusp of a really strong demand market where the opportunity to deploy capital is probably going to become harder and harder going forward as pricing expectations rise.  So right now, I'm sort of leaning towards making some capital deployments for incremental growth, nothing big, but that's accretive to levered free cash flow per share with a very rapid cash repayment because of the multiple and also that replenishes the cash ahead of the converts. Longer term, I think depending on what the outlook on the market is for sustainability, you can start to think about do we need to eliminate the debt? Or is there a certain amount of permanent debt to carry? And if you get to that conclusion then you look at the amount of cash that you have and you start determining how much goes for share repurchase and dividend. And of course, that decision would be a Board decision.
Operator: And we have no further questions on the phone line.
Erik Staffeldt: Okay. Thanks for joining us today. We very much appreciate your interest and participation and look forward to having you on our fourth quarter 2022 call in February. Thank you.
Operator: That concludes today's call. We thank you for your participation and ask you to please disconnect your lines.